Operator: Welcome to the Third Quarter 2022 Financial Results and Business Update Conference Call for Yield10 Bioscience. During the call, participants will be in a listen-only mode. The presenters will address questions from the analysts today. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to your host, Yield10 Vice President of Planning and Corporate Communications, Lynne Brum. 
Lynne Brum: Thank you, Regina, and good afternoon, everyone. Welcome to the Yield10 Bioscience third quarter 2022 conference call. Joining me on the call today are President and CEO, Dr. Oliver Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 issued our third quarter 2022 financial results. This press release as well as slides that accompany today's presentation are available on the Investor Relations Events section of our website at yield10bio.com. Let's turn to Slide 2. Please note that as part of our discussion today management will be making forward-looking statements. These statements are not guarantees of future performance, and therefore, you should not place undue reliance on them. Investors are also cautioned that statements are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks and uncertainties that could cause actual results to materially differ from those anticipated. These risks include risks and uncertainties detailed in Yield10's filings with the SEC. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. I'll now turn the call over to Oli.
Oliver Peoples: Thanks, Lynne. Good afternoon everyone. Thanks for joining your call. As 2022 is progressing, we are making solid progress, operationalizing our commercial plan, launch Camelina as a platform crop with a near-term focus on the biofuel feedstock market. Today, we will provide an update on our recent accomplishments. We'll also provide an update on our drone contracting and seed production, winter field trials with a focus on development of herbicide tolerant Camelina varieties, review key drivers in the biofuel feedstock oil market, present the third quarter financials and summarize key milestones. We will then open the call to questions. Let's turn to Slide 3, Yield10's crop innovation platform. Our innovation platform, the Trait Factory is centered around the oilseed Camelina to increase carbon capture and direct increased carbon to the seed, to produce decarbonizing seed products. We are currently working to establish Camelina as a new platform crop to produce low carbon petroleum replacements and food products Turn to Slide 4 for Yield10's vision of Camelina. Enabling the large scale production of Camelina grain as a source of decarbonizing seed products requires us to build strong long-term working relationships with farmers. They not the oil companies are the most important players in this new value chain. After all, they own the land. To address growers needs Yield10 has developed a vision for this crop to enable seamless integration into cover cropping and chemical rotations. An integrated herbicide trait package for Camelina is our current key goal. This herbicide trait package will need to include robust tolerance of Camelina to the over the top herbicides to maintain grass and broadleaf weed control and tolerance to soil residues from previous crops to secure large acreage production. Lack of broadleaf weed control will not only impact Camelina production, but it can increase weed pressure for the next crop in that field. So this is very important to farmers. Camelina is naturally tolerant to trifluralin a grass herbicide and some trifluralin containing products are already labeled for use in Camelina production. As you will see later in this call, Kristi and her team have made great progress developing broadleaf weed control and herbicide tolerance traits in Camelina. In addition to herbicide tolerance, developing new varieties with increased co-tolerance for planting further north and west and nearly maturing varieties with short cycle times integration into corn and soybean rotations in the Midwest are also going to be very important to expand rotations. As these traits are developed and commercialized over time, we plan to add in our proprietary traits for increased seed oil and seed yield and provide additional upside to growers and secure even more acres. Turn to Slide 5, Yield10's business model. Our business model is to develop elite Camelina seed varieties, contract production of Camelina grain with farmers and supply customers in the renewables and food space under offtake agreements. With our current elite varieties progressing towards commercialization and our true proprietary value-added Camelina seed product traits and development, we are positioned to establish and grow a large seed products business. Our lead product is low carbon feedstock oil to meet increased demand from the biofuel sector. Here, we are in the early stage of commercial stage and working steadily on partner outreach to secure offtake agreements. We believe this will be followed by the launch of omega-3 Camelina to produce omega-3 oils for nutrition and PHA bioplastic Camelina to supply the growing demand for biodegradable zero waste plastic packaging. Combined, these products represent a significant revenue opportunity. Let's turn to Slide 6 advancing the business. We're making solid progress executing our plan to launch our Camelina seed products business. Our commercial team is engaging regulated with potential supply chain and partners to form alliances that will support our capital-light business model. During this third quarter, we secured multiple growers for contract planting of winter Camelina for grain and seed production of the areas of Southern Canada and Idaho. The plants have been planted in range and size from 30 to 160 acres. We are also ramping up commercial quality winter variety seed production in the winter season in the U.S. and Canada as well as in contra-season in South America with our spring varieties to supply seed for future grain production contracts. As we build our business around Camelina, our research team has done an outstanding job progressing new seed varieties and our pipeline of traits. In 2022, we had an intensive effort to field test, herbicide tolerance and downy mildew resistance traits. Our elite herbicide tolerance spring Camelina lines have met the firm's performance criteria and we have selected lead lines for contra-season testing and seed-scale up. By the end of the third quarter, all of our spring field testing sites were harvested, data is being collected and analyze by our team and this will allow us to generate further proof points in our traits and will allow us to identify Camelina's – Camelina lines for commercial development. Our 2022-2023 winter field program is underway with planting completed across sites in the U.S., Canada, Argentina, Uruguay and Chile. This program is expected to provide us with important data on winter and spring varieties grown in a variety of geographies. Let's turn to Slide 7 for an overview of our early germplasm. We are establishing our early commercial activities and post cooperation with our growers with a focus on three early commercial Camelina lines, which currently do not have the herbicide tolerance trait package. These lines include the genome edited Spring line E3902 and winter lines WDH2 and WDH3 that were produced using a breeding procedure. These will be replaced by herbicide tolerant varieties once they're developed and approved. I'll note here that E3902 was recently designated as non-regulated by regulatory authorities in Chile. In the U.S. and Argentina, it's previously determined that E3902 does not meet the definition of a regulated article. We plan to apply for this designation for E3902 in Canada once the expected updated CFR regulations go into effect, which is anticipated to happen soon. Please turn to Slide 8 for our winter grain contracting and seed production. I am pleased to say that we have successfully completed our grower contract activities for the winter 2022-2023. Our growers are clustered in the southern areas of Alberta and Manitoba provinces with additional growers in Northern Alberta and [indiscernible]. If you call last year we conducted seed production of 17 acres on one farm located north of Saskatoon. The seed was cleaned, tested and bagged, then delivered to the farms from mid-September to October. Admittedly, it was a very tight tunnel run for our team. The plots we have contracted range from 30 acres to 160 acres, which represents a significant increase in acres from last year. I want to remind you all that we are still in the development stage where our key goal is to gain experience and build operating capability. We are working closely with the growers participating in our winter program and expect harvest to begin in late summer 2023. Some of the seed harvest is intended for toe-crushing and some of it is earmarked or seed production to provide us with seed inventory for growers contract in 2023 and probably beyond that. In addition to working seed production in the U.S. and Canada, we also established seed production relationships in Chile and are accessing in-season and contra-season seed production now. I will now pass the call over to Kristi.
Kristi Snell: Thanks, Oli, and good afternoon everyone. Let's start with a field report on planting for the winter 2022, 2023 season. Please turn to Slide 9. Our winter field testing program includes well over 20 sites located in the U.S. and Canada with additional sites in South America. As the photos on the slide show, the Camelina plants are still small but will continue to grow until the weather turns consistently cold and there is snowfall. In the spring when temperatures rise consistently above freezing and the snow melts, the plants will resume growth, flower and are expected to be ready for harvest in mid to early summer depending on planting latitude in local climate conditions. The yellow pins on the map in Georgia and Arizona are the winter contra-season locations of our spring Camelina herbicide tolerance field studies for over the top weed control. We are conducting further herbicide testing of our lead spring Camelina lines in these studies and are scaling up seed for more extensive planting and trialing in spring 2023. We are also conducting agronomy trials of winter Camelina. The objective of this work is to develop standardized protocols to achieve the best germination, stand establishment and yields winter Camelina. This work is taking place across a broad geography indicated by the blue pins on the map where we believe planting winter Camelina can be economically viable. Winter wheat is a crop trusted by growers to be extremely cold tolerant. We have planted winter Camelina side by side with winter wheat in certain locations to compare its cold tolerance with this benchmark crop. We have also planted several demonstration fields which will be suitable for hosting grower events in 2023. Let's turn to Slide 10. Growers want broadleaf and grassy weed control for Camelina and we have made significant progress developing and testing weed control in spring Camelina. The timeline on this slide shows our progress towards producing over the top spray broadleaf weed control and testing our herbicide for grassy weed control on Camelina. The yellow boxes with green check marks indicate work that has been completed. In 2022, we verified robust broadleaf herbicide tolerance in engineered spring Camelina events both in the greenhouse and the field. There is a drone photo on the top right hand corner of this slide showing our spring 2022 research field trial where we achieved robust herbicide tolerance. Engineered lines survived commercial levels of herbicide spray and thrived throughout the growth season while the control line sides. We've obtained good seed yield and oil data for lines from the trial and have selected several commercial oil quality lines to advance. We have also ramped up regulatory efforts for our over the top herbicide tolerant lines based on the positive test results we've obtained this year. Our focus over the next few months will be on contra-season field work indicated by the purple box with our best lines for product development trials and seed scale up. In spring 2023, we plan to conduct larger scale field work for product development and herbicide label amendments for Camelina. Let's turn to Slide 11. Group 2 herbicides such as IMIs and SUs are commonly used in some areas that we are targeting for Camelina growth and can persist in soil for months following application. Group 2 herbicides negatively affect the growth of Camelina. We previously demonstrated that a Camelina line in our germplasm collection has tolerance for IMIs in our spring field test. We are now developing broader Group 2 herbicide soil residue tolerance for both IMIs and SUs that will expand the acreage accessible to Camelina. We have successfully stacked the trait for Group 2 herbicide soil residue tolerance with the trait for over the top herbicide spray tolerance described in the previous slide in our best germplasm. We have also obtained early positive greenhouse results showing tolerance in these SUs and are over the top herbicide in many lines. Over the next few months, we will perform more extensive greenhouse herbicide tolerance tests on the best lines indicated by the purple box on the slide. We plan to initiate the regulatory process for these lines in the new year and are on schedule to move plants with stacked herbicide traits into research field trials in spring 2023. As I wrap up, I'd like to acknowledge the Yield10 R&D team. They have put in a tremendous effort generating herbicide tolerant events in Camelina and testing them in the greenhouse and in field trials. This work has positioned us well for further field testing of our best commercial quality Camelina lines in 2023. I'll now hand the call back over Oli.
Oliver Peoples: Thanks, Kristi, and congratulations to the team for their significant accomplishment executing the spring program and transitioning quickly into planting the winter program. Let's turn to Slide 12, biofuel feedstock oil focus. Throughout 2022 there have been several tailwinds for interesting vegetable oil production for decarbonizing biofuels. Production of soybean and canola alone cannot meet this growing demand and still support food production. Therefore, this will require new oil seed crops like Camelina and new crop rotations to use acres, which are less productive for soy and canola and double cropping to use land otherwise live follow. We believe that Yield10 and Camelina can play an important role in this area. Let's turn to Slide 13, our business model for the biofuel value chain. The business model we are building for the biofuel feedstock oil market is one of where Yield10 plays a role of the Camelina Green originator producing elite Camelina seed based on our novel genetic traits. We will deploy for trait of Camelina seed on the farmer's land under the contract with the right to purchase the Camelina grain harvested. We also plan to engage an offtake agreement for logistics and seeds crushing as well as supply agreements to provide feedstock oil to biofuel players. Let's turn to Slide 14 establishing the Camelina value chain. The grower contracts signed in 2022 are an important first step in establishing the Camelina value chain. We do expect to learn from their experiences with Camelina over the next several months and continue to build relationships with growers and seed retailers in 2023 to enable planting of more acres for grain production. We begin to significantly expanding annual planted acres with introduction of herbicide tolerant varieties, effective crop rotations and for using cover cropping. Let's now turn to Slide 15 for a brief overview of PHA Bioplastic and Omega-3 programs. Although currently focused on biofuel feedstocks, we continue to make progress on our two future seed product traits. In the PHA Bioplastic area, our efforts are focused on optimizing the PHA trait to enable PHA bioplastic production in the Camelina seeds, which can be processed to produce three products: PHA bioplastic, biofuel feedstock oil and protein meal. Our prototype Camelina line with our C3015 trait has grown up acre scale this year to produce PHA Camelina grain for process and business development purposes. Prototype PHA Winter Camelina lines have been tested for the first time in our winter program. Meanwhile, the R&D team is continuing activities related to trait optimization. Now turn to fish oil and the Omega-3 markets. Although we're a specialty market, Camelina has proven to be an excellent platform for producing Omega-3 oils and there's a large opportunity in the Omega-3 fish oil market driven by reduced supply of oil from harvesting ocean fish and growing demand in aquacultural feed and nutraceutical markets. We announced the data we have extended our collaboration with Rothamsted. Further as we advance the program, we have prioritized the development of the EPA component of Omega-3 and look forward to deploying it in our elite Camelina with a robust technology package that will combine traits to drive agronomic performance in the production of high quality Omega-3 oil. Now let's turn to Slide 16, the licensing opportunities. We have non-exclusive research license agreements in place with Bayer and GDM, who are testing their traits with soybean. We granted Simplot, an extension of the research license for additional year to study traits in potato. And the research license with Forage Genetics for sorghum expired in third quarter as Forage Genetics indicated that they have terminated their sorghum breeding and development program entirely. The research license with Bayer is scheduled to expire in December. We anticipate having a meeting with Bayer to review the most recent field results and to determine their interest in developing traits in soybean. Under license, they have the rights to negotiate a commercial license. We are following up on industry interest in oil content rates including C3007 for soybean and canola and we're seeking partners to test for traits in corn. The green platform also represents a unique opportunity driven by interest in identifying novel performance traits. I will now turn the call over to Chuck to discuss third quarter financials.
Chuck Haaser: Thanks, Oli, and good afternoon everyone. We ended the third quarter with $7.4 million in cash, cash equivalents and investments. We expect that our cash on hand together with expected revenue from our current government grant will support our operations into the first quarter of 2023. We continue to have no debt on our balance sheet. Our net operating cash usage was $2.7 million for the third quarter of 2022 as compared to $2.0 million for the third quarter of 2021 and for the full year 2022 we continue to estimate total net cash usage of $12 million to $12.5 million to fund our operations, including our expanded research and development activities and our preparations for the future commercial launch of our Camelina products. Let's now review the third quarter 2022 operating results. For the third quarter of 2022, the company reported a net loss after taxes of $3.5 million as compared to a net loss after taxes of $2.4 million for the third quarter of 2021. Our total research grant revenues in the third quarter were consistent at $111,000 in comparison to $92,000 in the third quarter of 2021. And in the third quarter of 2022, R&D expenses were $2.1 million as compared to $1.6 million in the third quarter of 2021. The G&A expenses were $1.5 million in the third quarter of this year and that was unchanged from the third quarter of last year. For the nine months ending September 30, 2022, grant revenue was $363,000, R&D expenses totaled $5.9 million and G&A expenses totaled $4.7 million. Our net loss after taxes was $10.3 million. For more details on our financial results, please refer to the earnings release and our 10-Q. Oli, back to you.
Oliver Peoples: Thanks, Chuck. Let's turn to Slide 18 and upcoming milestones. As you can see, our technology team has made terrific progress this year, executing on the development and scale up of new Camelina lines for commercial production. We're also very excited to be well aligned with strong tailwinds in biofuels. As we progress until the end of 2022, we will continue to focus on executing our key milestones including expanding our commercial activities, targeting the renewable diesel and aviation biofuel markets, engaging with growers to introduce the benefits of growing Camelina and continue to build our differentiated elite Camelina germplasm collection, collecting and analyzing data from our 2022 field testing program, executing and seed production and building inventory for future contracts. As we continue to advance the optimization of our PHA bioplastic and progress the commercial launch plan with Camelina Omega-3 oils. We're very busy in business development by reach to prospective partners across the entire value chain with the goal of executing strategic industry collaborations and we continue to build and expand our intellectual property portfolio. With that, I'd like to turn the call back over to Lynne for questions.
Lynne Brum: Thanks, Oli. Regina, we're now ready for questions.
Operator: [Operator Instructions] Our first question will come from the line of Anthony Vendetti with Maxim Group. Please go ahead.
Anthony Vendetti: Yes, thanks. I wanted to focus on the progress you're making in discussions with some of the players in the value chain. It seems like all the developments in terms of Camelina are proceeding according to plan. Can you just tell us about the discussions you're having and where they're at and just in general with the players in the supply chain?
Oliver Peoples: Yes, so I – first of all, I appreciate you're recognizing just the terrific progress the team has done executing on the commercial side with Camelina. It's obviously a big piece of these discussions also with the third parties. We are – I have to be careful what I say here. We are moving forward with multiple discussions with multiple parties across that value chain at this stage. But as you know as they – until one of these things is sort of over the transom signed and announced there really isn't an awful lot I can say about it, but I would say we're definitely making very, very good progress. Always difficult to know when one of these things will finally be executed and signed, but obviously we look forward to communicating that in the future.
Anthony Vendetti: Okay, great. And then just as a follow up how much more investment is do you think is required to develop new seed varieties or maybe just talk a little bit about that. And then any other options that you're looking at besides grant revenue whether it's licensing or partnership opportunities in terms of near-term revenue opportunities?
Oliver Peoples: Yes, so in terms of our guidance, in terms of money required and this accompanies the program that we've laid out and have been executing. We've given guidance between $12 million and $12.5 million that that hasn't really changed at this point. Now, obviously assuming partnerships kick in that number could well change because obviously those partners are interested in scale and of course you would expect other things to change along with that. I would say in terms of grant revenue, we definitely see more opportunities for additional grant revenue and those are things that are being discussed internally particularly through this new climate bill. And there seems to be some interesting potential there, but we have to wait and see how all that shakes out. In terms of where we're with licensing, I think obviously we did mention Bayer coming to the end of its agreement on the C3003 and C3004 traits, and obviously we expect a data readout from Bayer in the not too distant future. And then there's a consequence of that agreement they do have the right to negotiate a commercial license or an extension of that work. Keep in mind the Bayer agreement was already extended. We did add in the C3004 trait after – which was discovered after the C3003, but we look forward to the conversation with Bayer and then obviously if something interesting happens there, then we'll be looking forward to communicating that as well.
Anthony Vendetti: Okay. So just to clarify on that that they sort of have like the right of first refusal. They get the first opportunity if something doesn't work out with them. Is it correct to say that you have the right to negotiate with someone else or…
Oliver Peoples: Actually, so those agreements, all of those agreements we struck with all of those companies are non-exclusive and we have the right to negotiate with anybody. I think what we have an obligation to do is to, of course, inform other parties interested in that product if in fact there is someone, who's entered into definitive license agreements discussions.
Anthony Vendetti: Okay. And lastly…
Oliver Peoples: But that's really an obligation we have.
Anthony Vendetti: Okay. And then last question then before I turn back to the queue. Can you talk a little bit about the biofuel opportunity where that's at specifically?
Oliver Peoples: Yes, so, I would say, it's pretty clear to us that when you look at that value chain and the value chain really starts with – it is going to have to start with new oil seed crops. I mean, there's no question you're going to see opportunities for increased soy and canola yields for increased seed oil content in soy and canola, but ultimately when you start looking at 6 billion gallons by 2030, I believe the number is, and that's just for R&D renewable diesel and you add-in 3 billion gallons for aviation biofuel, and then you see that being boosted to 29 billion gallons by 2050. I mean, it's pretty clear that this is not all going to – it's no way it can come from corners canola and soybean. It just – there's just no way. Just to give you an example. I think 6 billion gallons is like adding another 60 million acres of soybean, which is currently 85 million acres and of course that 60 million additional acres doesn't really exist, so you will see instrumental increases on those crops for sure, and you'll definitely see drive towards higher oil and potentially higher yield as well, obviously. But I think it really means is this is going to have to really rely on new crops that can open up the land by offering different rotation benefits to the grower or potentially different timing. And that's really the big thing around these oil seed cover crops is basically the ability to use those crops when you would otherwise have leaving the land fallow. And of course, cover crops have these benefits in terms of sustainability, whether it's improving soil carbon, keeping moisture in the soil, producing nutrient runoff, but ultimately a cash cover crop like Camelina or other oil seeds like perhaps pennycress and even potentially [indiscernible], if it can be fitted seamlessly into those rotations, offers the grower additional revenue. And at the same time is increasing availability oil for biofuels. It also increases protein production, which is, of course, another area where we see growing demand based on global population growth.
Anthony Vendetti: Okay, great. Thanks for that update. I appreciate it. I'll hop back in the queue.
Oliver Peoples: Thank you, Anthony. Excuse me.
Operator: [Operator Instructions] Our next question will come from the line of Ben Klieve with Lake Street Capital Markets. Please go ahead.
Ben Klieve: All right, thanks for taking my questions. Oli, first question for you is about your comment in your prepared remarks about trying to establish capital-light business model within the Camelina and kind of broad biofuel opportunity. Can you kind of help characterize how you define capital-light business model for this product? And can help us understand the – parts of that model that you would ultimately be responsible for versus your processing and energy company peers as you see it today?
Oliver Peoples: Sure. So, I mean, there's – obviously the piece that we are obviously investing in Yield10 to own is obviously the genetics, obviously the traits they are going be packages, the manuals for the growers and ultimately the grower relationships. But those grower contracts, at the end of those grower contracts, of course, there's – the farmers have got bins, full of grain. And that grain then would typically be moved to either to elevators owned by some of the big crushing companies and/or shipped directly to some processing facility. And definitely there is a real interest in production posts to processing facilities to mitigate some of the logistics and what have you. What we want to avoid, and just let's be very specific about this, is essentially what happened to Calyxt whereby they went out and contracted acres and ended up building a lot of inventory of grain. I think ultimately I believe they sold somewhere around $40 million worth of grain to ADM with their high oleic soybean. So obviously, we are simply not intending to do that. That doesn't make a lot of sense to us. Right now what's missing in the biofuel market is new feedstocks, in other words, new sources of oilseed grain that can be processed in existing infrastructure to produce oil and protein to boost an oil that can actually fit readily into the biofuel, the markets and obviously Camelina already has run its credits and obviously it looks like it's going to have a very attractive CI score. And so really the whole issue is, is the demand is for the new sources of oilseed grain and therefore our view is that given the supply constraint, given the demand from sort of both crushers, but as well as basically the end users, the fuel companies we should be able to have them underwrite the offtake from the growers, so that we get paid when the grain comes out of the farmers' bin and goes to their facilities. And that's really the idea here. We should not be building working capital to manage seed inventory. That's not really a business we need to be in.
Ben Klieve: Okay. All right, very good, that's helpful. Thank you. I have a quick question on – a clarifying question on the map that you laid out on Slide 9 and then a follow up. So my clarifying question is there is a pretty dramatic expansion it appears of your testing program from last year particularly into the planes and upper Midwest. And I'm curious that that expansion, is that for the – is this map entirely kind of the lead varieties or does that expansion also include the WDH2, WDH3 and E3902 that you referred to later in the presentation?
Oliver Peoples: Yes, so, Kristi, do you want to take this? This is the field trial program.
Kristi Snell: Yes. So the blue pins are our winter lines and that are our lead WDH2, WDH3 that you mentioned. We are also testing some accessions in other lines in other trials. The yellow ones are the sites of our herbicide tolerant field trials. Those are spring lines. So we've really expanded into the Midwest. This is a good area to rotate with soybean or corn. And so, we're testing the performance of our – some of our lines and we're starting to test the performance of our lines in some of those areas as well.
Oliver Peoples: Yes, so – but these are small scale field plots, these are not large scale, most of the large scale is in Southern Manitoba and Southern Alberta, Southern Idaho.
Ben Klieve: Okay. Okay, perfect. Thank you. And then this…
Oliver Peoples: And this is more in screening.
Ben Klieve: Got it. Got it. And next question I'm not sure who this is best address to, but on herbicide tolerance and as you look to expand further south do the herbicide tolerance traits that you are in development now, are those suitable for the more southern geographies in this map? Or are you going to need to expand your herbicide tolerance to include other chemistries?
Oliver Peoples: Yes, so when you look at – so I'll say that – go ahead. Go ahead, Kristi.
Kristi Snell: Okay. Yes, really the reason we're growing in the south this year is for contra-season scale up. This gives us the ability to add another season. So we're taking advantage of the temperature in the south. This isn't necessarily developing a variety for the southern area. Oli, if you want to add to that.
Oliver Peoples: Yes, yes. I would like to. So, Ben, I think the question, so basically when you look, the issue really is mainly the soil residues and obviously in the corn belt there's a lot of HPPD herbicides used and PPO herbicides. Those are different from the Class 2s that are actually used in the Pacific Northwest. And obviously, you would ultimately want tolerance to one or both of those in the Camelina along with an over the top three herbicides. So that will be particularly important for integration into a rotation, which would be corn forwarded by Camelina and then forwarded by soy, because again some of the HPPD residues are going to be a problem in some of those areas. And again, we can discuss where we're out on that, but obviously that's something that we're very cognizant of and I've been working on a plan to address.
Ben Klieve: Okay. All right, fair enough. So you're taking advantage of the temperament winners of Central Minnesota. Got it, very good. Lot of very good updates coming throughout this call. Congratulations on all the progress. Thanks for taking my questions and I'll get back in the run.
Oliver Peoples: Yes, thanks, Ben.
Operator: [Operator Instructions] We have no further questions at this time. I'll hand the conference back over to Lynne for any further remarks.
Lynne Brum: Thank you, Regina. And I'll now call the – turn the call back over to Oli for his closing remarks.
Oliver Peoples: Thanks, Lynne. So I'd like to personally thank all of you for joining us on the call tonight and especially our shareholders for your continued support. In 2022, we've met important milestones including deploying herbicide tolerance rates in Camelina and engaging growers under contracts as we start to build relationships, we rely on anchor versus supply chain from the biofuel market. I want to thank everyone at Yield10 for the contributions as keeping us on track to reach our goals and I'm particularly proud of the way that this team, small as it may be, has just done a terrific job of executing. Have a nice evening everyone. Thank you.
Operator: That will conclude today's call. Thank you all for joining. You may now disconnect.